Operator: Good afternoon, everyone, and welcome to EVERTEC's First Quarter 2022 Earnings Conference Call. Today's conference call is being recorded. And at this time, I would now like to turn the conference over to Kevin Hunt of Investor Relations. Please go ahead.
Kevin Hunt: Thank you, and good afternoon. With me today are Mac Schuessler, our President and Chief Executive Officer; and Joaquin Castrillo, our Chief Financial Officer. Before we begin, I would like to remind everyone that this call may contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the Company's most recent periodic SEC report. During today's call, management will provide certain information that will constitute non-GAAP financial measures under SEC rules, such as adjusted EBITDA, adjusted net income and adjusted earnings per common share. Reconciliations to GAAP measures and certain additional information are also included in today's earnings release and related supplemental slides, which are available in the Investor Relations section of our company website at www.evertecinc.com. I'll now hand over the call to Mac.
Mac Schuessler: Thanks, Kevin, and good afternoon, everyone. We achieved strong results in the first quarter, driven by payment volume growth in both Puerto Rico and Lat Am. We also continue to make progress towards closing the Popular transaction and the BBR acquisition, both announced on our last earnings call. On today's call, I will start with some highlights from the quarter. and then we'll turn it over to Joaquin, who will provide further details on our first quarter results as well as an update to our expectations for the rest of the year, which includes an increase in our guidance for 2022. Beginning on Slide 4, total revenue was $150 million for the first quarter, an increase of 8% compared to the first quarter of 2021. Adjusted EBITDA was $75 million, an increase of 9%; and adjusted earnings per share was $0.70, an increase of 13% from the prior year quarter. We generated significant operating cash flow of $70 million, and we returned approximately $25 million to our shareholders through dividends and the execution of share repurchases. Additionally, our liquidity remained strong at $403 million as of March 31. Moving on to our Puerto Rico update on Slide 5. We experienced strong transactional growth, and this drove a 14% increase in overall sales volume in merchant acquirement. We benefited from a full quarter contribution of FirstBank's merchant portfolio this year compared to a month last year. Recall that we expanded and extended our relationship with FirstBank a year ago, after their consolidation with Santander. In Payment Puerto Rico, we continued to benefit from our digital payment channels, ATH Movil and ATH Business as well as a 9% increase in POS transactions process. Our Business Solutions segment benefited from the printing deal signed a year ago and began generating revenues in the second half of the year. Finally, the quarter also benefited from the 5% CPI clause in our current MSA with Popular, which positively impacted both our Business Solutions segment and to a lesser extent in the Payment Puerto Rico segment. As a part of the Popular transaction, we have agreed to provide Popular with a 5% credit on services provided through the closing date. Joaquin will provide more details around that in a few minutes. We are also pleased to announce that we will be launching our PlacetoPay platform in Puerto Rico during the second quarter. PlacetoPay will replace our existing payment gateway in Puerto Rico with a better product offering that includes enhanced functionality for clients in the small and medium business sector, looking to accept electronic payments, including the acceptance of ATH. We believe the introduction of this gateway in our main market will put us in a much better position to capitalize on the growth of e-commerce in Puerto Rico and continue to drive growth in our Payments segment. Finally, a few comments on the macro environment in Puerto Rico. The labor participation rate has continued to decline in 2022 to 44.5%, a highest rate since 2009. The overall economic activity index was up 3.5% year-over-year in the month of February, reaching the highest level since 2016. And finally, travel and tourism continued to recover with airline passengers and hotel guests all either approaching or surpassing pre-COVID levels. We'll continue to execute on our strategic objectives to take advantage of the stronger Puerto Rican economy. Turning now to Latin America on Slide 6. We achieved another strong quarter with Lat Am revenue up 15% compared to the prior year, reflecting organic growth, including the contribution from the wins we have announced in the past year. We recently celebrated the one-year anniversary of the Getnet Chile relationship, for which over 60,000 merchants have been affiliated, and I am pleased to announce that the Getnet relationship in Uruguay, which we announced last quarter, is already in a pilot with the first transaction occurring in Friends and Family pays. Next, let's turn to Slide 7 to cover a few additional items. We continue to expect a midyear close for the Popular transaction announced last quarter as teams on both sides are working diligently. As for the BBR acquisition, we are waiting on regulatory approval and continue to expect closing around midyear, which will allow us to reflect benefits from the acquisition in the second half of the year. Before I turn it over to Joaquin, I want to emphasize that our values are what drive us at EVERTEC. So I'd like to take a moment to highlight our continued commitment to a high-quality, diverse workforce. We are incredibly proud that, for the fourth year in a row, we have been named to Bloomberg's Gender-Equality Index, placing us among the leading global companies who value and demonstrate this commitment. I would also like to bring to your attention to the new ESG section of our website, launched earlier this month, which articulates our values are embedded in everything we do. With that, I will now turn it over to Joaquin to provide a more in-depth look at our first quarter results.
Joaquin Castrillo: Thank you, Mac, and good afternoon, everyone. Turning to Slide 9, you will see the consolidated first quarter results for EVERTEC. Total revenue for the first quarter was $150.2 million up approximately 8% compared to $139.5 million in the prior year. First quarter results in Puerto Rico reflect a strong payment revenue growth of our Merchant Acquiring segment benefited from 14% sales volume growth, and our Payment Puerto Rico segment benefited from 9% growth in transaction process and the continuous growth of our digital payment channels, ATH Movil and ATH Business. As Marc noted, we also benefited from a full quarter of revenue from the treating contract won last year in Business Solutions as well as the 5% CPI increase under our MSA with Popular. Latin America continues to grow in the team as we benefit from organic growth, including new business wins that have been able to contribute in meaningful way. Adjusted EBITDA for the quarter was $75.4 million, an increase of approximately 9% from $68.9 million in the prior year. Adjusted EBITDA margin was 50.2%, an approximately 80 basis point increase compared to the prior year. The increase in margin reflects a year-over-year benefit of approximately $3.1 million from foreign currency remeasurement of assets and liabilities denominated in U.S. dollars. Adjusted net income for the quarter was $50.8 million, an increase of approximately 13% as compared to the prior year primarily reflecting the higher adjusted EBITDA and lower cash interest rate partially offset by higher operating depreciation and amortization. Our adjusted effective tax rate in the quarter was 14.6%, slightly lower than the prior year quarter and reflecting some discrete tax items that impacted the quarter while we continue to expect the tax rate for the full year to range from 13% to 14%. Adjusted EPS was $0.70 for the quarter, an increase of approximately 13% compared to the prior year. Moving on to Slide 10. I will now cover our segment results, starting with Merchant Acquiring. In the first quarter, Merchant Acquiring net revenue increased approximately 15% year-over-year to $35.6 million, driven by an increase in sales volume of 14%, a higher average ticket of prior year and a slightly higher spread per transaction. The higher volume was driven mainly by a full quarter contribution from the FirstBank expanded relationship compared to a one-month contribution in the prior year. Additionally, the average ticket remained high as we saw year-over-year increases in categories impacted by inflation, such as gas, utility and supermarkets which are important verticals in our portfolio. The growth in some of these verticals and the increase in more international card volume aligned to pre-pandemic levels will continue to put some pressure on our overall spread going forward. Adjusted EBITDA for the segment was $17.1 million, up approximately 10%. Adjusted EBITDA margin was 47.9% down approximately 230 basis points as compared to last year, reflecting higher operating costs from the full quarter from the FirstBank expanded relationship and other operating expenses. On Slide 11, you'll see the results for the Payment Services Puerto Rico on the Caribbean segment. Revenue for the segment in the first quarter was $40 million, up approximately 10% and driven by strong POS processing and continued digital payments growth from ATH Movil and ATH Business. POS transactions were up 9% from the prior year as we continue to see a move towards normalization in terms of card-present transactions. The segment also continues to benefit from increases in transaction processing and monitoring revenue recognized for services provided to the Payment Services in Latin America segment as we continue to support Lat Am growth with some of our assets in Puerto Rico. Adjusted EBITDA per segment was $23.8 million, up approximately 14% as compared to last year. Adjusted EBITDA margin was 59.4% up approximately 210 basis points as compared to last year primarily due to the higher transactional revenue, which is highly scalable, partially offset by higher operating expenses, including costs related to POS equipment maintenance. On Slide 12, you will see the results for our Payment Services Latin America segment. Revenue for the segment in the first quarter was $28.8 million up approximately 15% as compared to last year. This increase is driven by organic transaction growth as we continue to benefit from the secular trends of cash to card conversion in the countries in which we operate and the client wins we have been discussing over the past few quarters and have now started to contribute in a more meaningful way. Adjusted EBITDA for the segment was $12.4 million, and adjusted EBITDA margin was 43.2%, up approximately 310 basis points as compared to last year. This improvement in margin is driven primarily by the $3.1 million year-over-year benefit in foreign currency remeasurement of U.S. dollar-based assets and liabilities, which represented an approximately 760 basis point positive impact to the segment. Normalizing for the effect of remeasurement margin would have been approximately 31%, a decline over prior year. This margin decline was expected as we continue to invest in our payment products in the region, localizing and adding functionality to scale over time. In addition, we've increased headcount in Latin America as we continue to actively leverage our Latin America footprint to identify labor arbitrage to support our regional operations, including Puerto Rico. On Slide 13, you will find the results for the Business Solutions segment. Business Solutions revenue for the first quarter was up approximately 3% to $52.6 million. The revenue increase in the quarter benefited from the 5% CPI escalator in our current MSA with Popular and incremental volume resulting from the printing contract signed last year and went production in the second half of 2021, partially offsetting this increase on the hardware sale recognized in the prior year quarter of $1 million and services provided to the Puerto Rico deployment of elevation in the prior year that did not recur. As a reminder, once the Popular transaction closes, we will provide Popular with a credit amounting to the CPI benefit generated since the fourth quarter of 2021, and will not recognize any CPI for services within our Business Solutions segment through September 30, 2022. For the quarter, adjusted EBITDA was $29.6 million, and adjusted EBITDA margin was approximately 47% down approximately 160 basis points as compared to last year. The adjusted EBITDA margin decrease was primarily driven by higher software and hardware maintenance cost. Moving on to Slide 14, you will see a summary of Corporate and Other. Our first quarter adjusted EBITDA was a negative $7.5 million, a decrease of approximately 6% compared to the prior year. Our adjusted EBITDA as a percentage of total revenue was 5% relatively flat when compared to the prior year as we continue to effectively manage corporate costs. Moving on to our cash flow overview. On Slide 15, our beginning cash balance was approximately $286 million, including restricted cash of approximately $20 million. Net cash provided by operating activities was approximately $70 million, a nearly $36 million increase compared to prior year as we effectively manage our working capital. Capital expenditures were approximately $14 million, with most of the spend related to software development and hardware refresh. We continue to anticipate approximately $60 million of CapEx for the full year 2022. We paid approximately $5 million in long-term debt payments, $6 million in withholding taxes on share-based cost and $1 million of other debt paydowns, which resulted in a total net debt decrease of approximately $11 million. We paid cash dividends of $4 million and repurchased approximately 522,000 shares of common stock or a total of approximately $21 million. We have approximately $129 million available for future use under the Company's recently expanded share repurchase program. Lastly, we had a negative impact of approximately $2 million from foreign currency exchange on the cash balance. Our ending cash balance as of March 31 was $304 million, and this included approximately $20 million of restricted cash. Moving to Slide 16, you will find a summary of our debt as of March 31, 2022. Our quarter ending net debt position was approximately $179 million comprised of approximately $284 million of unrestricted cash and approximately $463 million of total short-term borrowings and long-term debt. Our weighted-average interest rate was 4.7%. Our net debt to trailing 12 months adjusted EBITDA was approximately 1.3x. As of March 31, total liquidity was approximately $403 million. This balance excludes restricted cash and includes the available borrowing capacity under our revolver. Moving to Slide 17. I will now provide you with an update on our 2022 outlook. While we are pleased with the upside to consensus expectations in the first quarter, it is important to understand that a significant portion of the earnings upside was related to the CPI adjustment and foreign currency-related benefits. As mentioned earlier, as part of the Popular transaction, once it closes, we will provide them with a credit for the equivalent of the CPI impact since September 1, 2021, and will stop recognizing CPI through September 30, 2022. We are, at this time, evaluating the accounting considerations as to how this credit will be reflected in our results and the potential impact it can have to earnings. However, the guidance range for the remainder of the year takes into consideration some of these potential effects. With foreign currency, the $3.4 million benefit reflected this quarter would reverse in any period depending on how the currency in the regions in which we operate behave in relation to the U.S. dollar. That said, we are encouraged by the solid volume trends across our business segments and our progress with new relationships. And this provides us comfort to increase our revenue and earnings targets for 2022. We now expect revenue to be in a range of $597 million to $605 million, representing growth of 1% to 3%. This is up from our prior target range of $591 million to $600 million. We expect EBITDA margin for the full year to be between 45% to 46% up slightly from our prior expectations of 44.5% to 45.5%. We are increasing our adjusted earnings per share outlook to a range of $2.52 to $2.60 from $2.47 to $2.56, and this represents a year-over-year decline of 8% to 5% as compared to the $2.74 of adjusted earnings per share in 2021. On a GAAP basis, earnings per share is anticipated to be between $1.87 to $1.95 excluding the impact of potential onetime effects from the Popular transaction. Regarding the back half of the year, I will reiterate some of the key points from our call last quarter. First, we continue to assume closing the Popular transaction by midyear, and we also continue to assume that the BBR acquisition will close and provide a modest revenue contribution in the second half. For the full year, we continue to expect low to mid-single-digit growth in Merchant Acquiring, mid-single-digit growth in Payment Puerto Rico and the Caribbean, mid-teens growth in Payments Latin America and a mid-to high single-digit reset in Business Solutions. Once the Popular transaction closes, we will experience a reset in margins for the Merchant Acquiring segment in both a revenue and margin reset in Business Solutions. And this is factored into the full year revenue and EBITDA guidance has been provided. As I mentioned previously, our non-GAAP effective tax rate was higher in Q1 while we still anticipate the full year to be in a range of 13% to 14%. This guidance also includes the benefit of the share repurchases in Q1 and an approximate 4.6 million reduction in share count related to the Popular transaction. In summary, we are pleased with our results in Q1. We look forward to seeing you in person at upcoming conferences later in the coming months. Operator, please go ahead and open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Vasu Govil with KBW. Please go ahead.
Vasu Govil: I guess that the first question I had was on inflation. Maybe you could talk a little bit about your mix of revenues that are spread waste versus transaction-based and how we should expect the impact of inflation to flow through the P&L.
Joaquin Castrillo: Vasu, it's Joaquin. Sure. So look, obviously, part of our revenue merchant acquiring specifically has some inflation natural hedge because our sales volume gets impacted by the increase in consumer prices. From a transactional IP perspective, we continue to see very strong transactional growth. And then in Latin America and in our Business Solutions segment, apart from our Popular contract where we have some CPI escalators that we've discussed and that will change once we close this transaction, we have different pricing levers that we've exercised in the past and that we can continue to use going forward. What I would say, though, is that from an expense perspective, we continue to also look for ways to manage inflation. And we kind of mentioned a little bit of this on the prepared remarks as to how we continue to look for ways to maximize our footprint in Latin America by looking for areas where we identify labor arbitrage and moving some of the jobs there to support some of the operations in Puerto Rico and some of our other countries and also working with our suppliers in terms of longer-term contracts for stable CPI increases, et cetera. So it's something that we are continuously working on and that we have several levers to work with.
Mac Schuessler: But I do -- this is Mac, Vasu. As Joaquin mentioned, about 1/4 of our revenue is that it was subject to the 5% CPI, which we're not going to receive the benefit of as part of the extension with the bank. He did mention the remainder of the revenue. Some of it benefits from inflation because we have a higher average ticket and higher volumes. We may have CPI conditions and other contracts, and we have the ability to adjust pricing as necessary if we need to make up some run there.
Vasu Govil: Super helpful. And I guess my follow-up question, could you comment a little bit on the M&A pipeline? I know the BPOP renewal that you announced last quarter gives you some more flexibility. Has that been noticed in the market? And are you seeing any momentum as a result of that?
Mac Schuessler: Sure. Certainly. Great question. I mean we're -- as we said on the last call, this deal and the extensions give us a couple of things: one, great recurring cash flow that's predictable so that we can finance a deal if we'd like to; secondly, in the event that there's a regulatory requirement, once we close that, we won't have to get the same type of regulatory approval. We are very focused on capital allocation throughout this year and into next year. As you noticed, we were more aggressive than we have been in the past on the buyback. We did announce BBR. So we're hoping to close that as well, and we're very focused on looking at M&A. And I would say we're looking at M&A, as we have in the past, but we're even having a more thorough analysis internally on what's the order that possible now that we have the extensions with the bank, and we're going to get rid of the regulatory approval process or part of it.
Vasu Govil: Excellent. And if I may sneak in a third one. Mac, just on Latin America, maybe you could give us an update on where you are seeing the most incremental potential opportunities could be for you. Obviously, Santander Chile and Mercado Libre, all of those have been really great wins for you, and they're scaling now. But as you think about like where next, could you have one of these opportunities? Like where are you more focused with respect to that?
Mac Schuessler: Sure. So I mean, we're definitely focused on the countries that we've invested in and announced. I mean we're very pleased that Santander Chile, now that we have Santander Uruguay, we are in a phase now where we've processed our first transactions. So we'll continue to focus on Chile, now Uruguay, as we've discussed, Mexico is a very important country. We announced Caja Popular Mexicana. We've announced Mercado Libre, so we'll continue to be very focused on Mexico. Additionally, we have been in Colombia for a while. We've seen more opportunities outside of Colombia. Again, we posted the deal in Mexico and Chile and now Uruguay, but we're intensely focused on Colombia, again, and we're looking at localizing some of our newer products in Colombia this year as well.
Operator: The next question comes from Jamie Friedman with Susquehanna. Please go ahead.
Jamie Friedman: Good results here. I hate to start with the financial type detailed question, but the FX impact was so significant on the margins on the segment level. I heard some of your comments there, Joaquin. What is contemplated in terms of FX in the annual 45% to 46% EBITDA margin guide?
Joaquin Castrillo: We are not contemplating any incremental impact from foreign currency, Jamie. So we're pretty much just flowing through what we had in Q1. Again, I mean, we did benefit from some moves in Costa Rica and Chile that were to our benefit. And some of those currencies got pretty evaluated, and we're expecting actually some to come back, but we still expect that to flow through for the rest of the year.
Jamie Friedman: Okay. And then what was it that changed in -- I have to go back to my Q4 notes, but what was it that changed or outperformed or was time different in terms of where the quarter and now the year is landing relative to what you had anticipated 90 days ago?
Joaquin Castrillo: Well, I would say that -- we obviously don't give quarterly guidance, right? In last call, we gave a full year guide, and we gave some highlights as to how the Popular deal will impact mostly the second half of the year. What I would say is that if we look at some of our payment segments, we saw slightly better performance there than what we expected. And then in our Business Solutions segment, we're benefiting still from the CPI and that both Mac and I mentioned in the prepared remarks, that, as soon as we close, we will most probably go back as a credit.
Jamie Friedman: Right. Okay. And then if I could just sneak in one more. Mac, you know that metric that you give -- yes, labor participation I think that was -- last quarter, I think it was the first time I heard you talked about that. So how -- I mean I realize it sounds like it's the highest that it's been in a long, long, long time, the 44%. But what do we do with that? Like how do you think about that, for example, simply in terms of your anticipated growth rates?
Mac Schuessler: Sure. I mean, look, so it's hard to extrapolate directly the metrics. I mean so last call, as we set up for the year, we tried to give you some metrics on what's going on in Puerto Rico. And as you remember, we gave the labor participation rate is up. It was up at 44.2% when we had the last call. Now we published a number of 44.5% to show you how active the economy is. We also talked about on the last call that bank deposits with businesses and individuals were up about $17.4 billion. So what we're trying to demonstrate and give you statistics that are not always readily available to the sell side, sort of the health of the Puerto Rican economy. So it's hard to extrapolate it directly into how we would model our business. But if you look at the available cash to individual and businesses on the island, if you look at the number of jobs that have been created and so money going back into the economy, it's better than it's been in years. And we were just trying to make a point on this call that in December of 2021, the labor participation rate was 44.2%. And then the last number that we recently received is at 44.5%. So it continued to increase even after the last call.
Operator: The next question comes from Bob Napoli with William Blair. Please go ahead.
Bob Napoli: So I guess, can you comment on how payment volume has trended through the quarter and into April? And have you seen any rebound in the tourism part of your business? And can you remind me what -- I think it looks like 5% of revenue tied to tourism or something like that. But just any color on how payment volumes have trended through the quarter into April and then on the tourism side?
Joaquin Castrillo: So what I would say first on the latter part of the question, Jamie -- sorry, Bob. The 5% is impact of tourism to Puerto Rico GDP, specifically to EVERTEC we have a very small portion of our portfolio that's directly tied to tourism. And however, as you know, there's a lot of indirect spend that we do benefit from in terms of restaurants, retailers, where we do see that coming. Having said that, I will say, though, from a spread perspective, and I mentioned this in the prepared remarks, tourism is definitely. Travel is up, in some cases, even above pre-pandemic levels, and that's driving a higher portion of international cards coming into Puerto Rico that pay cross-border fees and that for that reason, are slightly more expensive to us than some of the trends that we saw in the previous year when a lot of the volume was being driven by domestic cards that have a slightly higher yield. So that's why we mentioned that even though that's great for the economy, and it's bringing some volume, it does put some pressure on our MAB spread. In terms of volume tendencies, I would say that -- and we mentioned this as well, we had a very good Q1 -- sorry, January and February because we had yet to anniversary the FirstBank expanded relationship. I think when we moved into March, we were in the mid- to high single-digit sales volume growth. And something that we did expect moving into April, we're now getting into much tougher comps because of when another Fed funds got disbursed last year. So going into April, we're looking at flattish to slightly down sales volume but mainly because of that. We are looking at April and May months that were the highest sales volume month for us in the previous year. So pretty tough comps, and that's part of the guidance that we gave last quarter and part of the guidance that we've incorporated in this most recent update.
Bob Napoli: Can you give any more color on the BBR acquisition? I know $60 million. But can you give any color on any of the revenue or the growth metrics for that acquisition and, strategically, why are you excited about it?
Mac Schuessler: Yes. So Bob, we can't really give you any details on -- I mean we haven't closed. We don't have any details on the financial attributes to the acquisition. But as we said on the last call, this really gets us deeper into Chile by providing with some large customers, more integration into how they run their payments business and providing more services to some of the large customers. And it also now gets us into Peru because we now have a couple of major clients in Peru. And so it's our first business in that country, which we're pretty excited about.
Bob Napoli: And then just lastly, any metrics you can give on Chile and the kind of the size of that business, the growth of that business, revenue growth rate, what you think you can do over the next couple of years there?
Mac Schuessler: No. I mean -- so Bob, like we've said before, we're incredibly excited about Chile. This was our first major new wins since we had acquired PayGroup. Our hope with Chile is that we can replicate, to a smaller extent, what we have in Puerto Rico and that we have multiple products across multiple clients. So we do believe it's one of the -- I mean, it's one of the countries we're most excited about.
Operator: The next question comes from John Davis with Raymond James. Please go ahead.
John Davis: Joaquin, just on the margin real quick. Is it fair to say that all of the margin upside in the quarter and, therefore, kind of the upgraded guide for the full year, is that all FX-related? Or just if we exclude FX, should we think about margins the same way as you guys guided at the beginning of the year? Just any color there would be helpful.
Joaquin Castrillo: Yes, that's pretty much on point, John. We did have that benefit from FX. And as we said, the CPI, which, again, we gave a full year guide or we guide on a full year basis. So we do have a slightly benefit there also from CPI that will get kind of washed away once we close the transaction.
John Davis: Yes, but that's contemplated in the full year guide, right, what really washed away in the transaction?
Joaquin Castrillo: It is. That's correct. That's correct.
John Davis: And just any update on kind of relief funding? I know last quarter or quarter before, it seemed like we're finally starting five years later to see some real funding flow into Puerto Rico. Just curious there, seems like macro conditions have improved pretty nicely in Puerto Rico. But curious if that has anything to do with funding or any kind of update there.
Joaquin Castrillo: Well, honestly, some of the macroeconomic conditions that we've mentioned aren't necessarily tied to the funding per se. I would say that -- and Mac mentioned this, these are trends now that I think are being driven a little bit by some of the relief that got into Puerto Rico and how that momentum has kept going. From a funding specific perspective, I would say and you can look at the banks I've mentioned this, there is a little bit of more movement in activity, especially on the HUD and kind of reconstruction side of things. I would say that the electric authority has also mentioned very recently that they have almost 180 projects in front of FEMA. And if you remember, one of the biggest allocations of funds are related to the rebuilding of the electric grid in Puerto Rico. So the fact that now there is a private company managing some of this is starting to get reflected in terms of how they're moving some of these projects through the bureaucratic process. And the fact that those are in front of FEMA is encouraging. But again, I mean, in the last, let's say, 45 days since our last call, not a significant update in terms of anything I can point you to directly in terms of the funding that's coming through.
John Davis: Okay. And then lastly, just switching to the balance sheet for a second. Joaquin, correct me if I'm wrong, but all the debt appears to be floating. Do you guys have any swaps kind of against that? And any thoughts on kind of locking in rates as they appear to be headed higher? Any thoughts on that?
Joaquin Castrillo: Yes, we actually -- John, we do have a swap. It's about 51%, 52% of our total debt that is mixed. So obviously, the past year, if you look at our balance sheet, that was in a liability position given the significantly lower rates. And now with rates coming out of it back, we are -- that swap has come in. So that's why you see our weighted average interest expense kind of staying pretty level.
John Davis: Okay. And then one last one for Mac. Obviously, you guys were a little bit more aggressive with the buybacks last quarter, but the leverage is still down close to a turn. I guess Vasu asked earlier, but are you potentially able to be more aggressive in M&A perspective because of the lack of requirement to get kind of bank holding company approval to do deals? Is that -- are you viewed more favorably by targets because they're less worried about that. Just curious kind of what the activity looks like, especially now as we get kind of on the other side of COVID, at least hopefully?
Mac Schuessler: Yes. So I mean -- it's a great question. This is part of the reason we did the transaction with Popular. And like I told Vasu, the fact that to your point, we've got a great balance sheet, right? Now we have not only does it look good now, but we've got great cash flows into the future because of these extensions. And it does -- once we close, change the regulatory environment for us. So we will be very, very focused on capital allocation through the remainder of this year and into next year. And our priorities are organic growth, which we've invested and demonstrated that we can get a payback with the wins we posted. We're very focused on M&A. And this -- given we've got the best balance sheet we've ever had, we can look at different size targets. And given that we're going to get rid of the regulatory hurdle, we can look at different types of M&A. And then after that, we will definitely continue to execute on our buyback plan.
Operator: [Operator Instructions] The next question comes from James Faucette with Morgan Stanley. Please go ahead.
Jeff Goldstein: This is actually Jeff Goldstein on for James. Within your merchant acquiring guidance for this year, how should we think about what's embedded for volumes and spread? I know you mentioned 14% volume in 1Q and a higher ticket as well. But how should we think about that for the rest of the year?
Mac Schuessler: I mean what I would tell you is in sales volumes this quarter are driven in part by the fact that we didn't have FirstBank. So that really drove higher sales volume in the first two months. And I think I gave some color now on kind of what April looks like kind of flattish to slightly down, mainly because of the tough comps. That's something that we would expect starts to get back to that kind of low to mid-single-digit type growth in the second half of the year. And as we said, we expect overall revenue to be in the low to mid-single digits for the full year. From a spread perspective, look, we had a slightly better spread this first quarter than what we expected in part because of a higher average ticket. And when we kind of break that down, we can see that some of the verticals that are more impacted by inflation are keeping that average ticket higher which has helped that spread. I'm talking about kind of gas stations, utilities. As we move forward, we need to kind of see how that average ticket continues to behave based on how inflation continues to impact the economy. But as we said in the prepared remarks, we have some other things kind of putting some pressure on that spread, which is the mix of cards between domestic and international transactions; and also credit versus debit, which is something that we discussed in the previous year. With a pandemic, we saw a huge shift towards debit, a much higher percentage of our total transactions than what we saw pre-pandemic, and that has also started to normalize. And that should also put a little bit of pressure on the spread.
Jeff Goldstein: Okay. That's helpful color. And then can you provide an update on PlacetoPay? I know you mentioned launching in Puerto Rico, but maybe the number of merchants you have on that platform. Any plans to further the geographic reach of that product? Just -- how should we think about the ongoing opportunity there?
Mac Schuessler: PlacetoPay -- this is Mac. PlacetoPay, we're incredibly excited about. We are going into production in Chile and in Puerto Rico in Q2. So we're very excited about the product. And once we localize it in several countries, we will truly have a regional gateway. We have plans to look at localizing to other countries through the back half of the year. And as we do that, we'll announce that on the calls.
Operator: We have no further questions. So this concludes our question-and-answer session. I'll turn it back over to Mac Schuessler for any closing remarks.
Mac Schuessler: Thank you. I want to thank everybody for joining the call, and we look forward to seeing you this summer at several investor events. Have a great night.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.